Operator: Good day, and welcome, everyone, to IDACORP's Third Quarter 2012 Conference Call. Today's call is being recorded and webcast live. A complete replay will also be available from the end of the day for a period of 12 months on the company's website, www.idacorpinc.com. [Operator Instructions] At this time, I would like to turn the call over to the Director of Investor Relations, Mr. Lawrence Spencer. Mr. Spencer, go ahead. 
Lawrence Spencer: Thank you, Derrick, and good afternoon, everyone. Welcome to our third quarter 2012 earnings release conference call. We issued our earnings release before the markets opened today, and that document, along with our SEC Form 10-Q, is now posted to our website at www.idacorpinc.com. We will be using a few slides to supplement today's call, and these are also located on our website. We'll refer to specific slide numbers as we work our way through today's presentation.  
 Now moving to Slide 2. On the call today, we have LaMont Keen, IDACORP President and Chief Executive Officer; Darrel Anderson, Idaho Power President and Chief Financial Officer; and Steve Keen, Idaho Power Senior Vice President, Finance and Treasurer. We also have other individuals available to help answer your questions during the Q&A period. 
 Before turning the presentation over to Darrel, I'll cover a few details with you. First, our Safe Harbor statements on Slide 3. Our presentation today contains forward-looking statements, and it is important to note that the company's future results could differ materially from those discussed. While these forward-looking statements represent our current judgment of what the future holds, these statements are also subject to risks and uncertainties that may cause actual results to differ materially from statements made today. As a result, we caution you against placing undue reliance on these forward-looking statements, which reflect our opinion as of today. A discussion of factors that could cause future results to differ materially can be found on Slide 3, and in our filings with the Securities and Exchange Commission, which we encourage you to review. On Slide 4, we present the quarterly and year-to-date financial results. I'll now turn the presentation over to Darrel, to discuss our results in greater detail and to review our 2012 key operating and financial metrics. 
Darrel Anderson: Thanks, Larry, and good afternoon, everyone. I'd like to start with our wishes for a speedy recovery for all those that have been impacted by the super storm Sandy. While we cannot directly relate to the devastation of such a storm, we do understand the threat to life, property and the uncertainty that Mother Nature can cause. In coordination with our neighboring Western utilities, we are offering up line crews and equipment to assist in the restoration efforts in light of the aftermath of the storm. 
 Before I get into the details of the quarter, I would like to comment on the improvement we have seen in the core business as compared to last year's third quarter.
  Operating income, which is a key measure of the overall contribution of the operations of the business, increased almost $41 million over the same period a year ago. As I will discuss, this improvement reflects our efforts to improve the timing of recovery of our investment in plant as well as our operating expenses, combined with weather conditions that helped increase usage during the quarter. While, overall, we had a decrease in net income compared to last year's third quarter due largely to the impact of the income tax examination settlement, the core of our business continues to improve. Some of these tax benefits are ongoing, though the amount recorded in 2011 was very significant. Now I will take a little deeper dive at the results for the quarter. I will begin by reviewing the reconciliation of earnings from third quarter 2011 to third quarter 2012, and then update you on the 2012 key operating and financial metrics. 
 On Slide 5, we present a reconciliation of net income attributable to IDACORP from the third quarter 2011 to the third quarter 2012. The schedule reflect a decrease in net income of $15 million from $107.1 million to $92.1 million. The full reconciliation table is included in the Form 10-Q we filed this morning. 
 Operating income increased $40.7 million over last year's third quarter and was positively impacted by $32.1 million due to timely recovery of revenue requirements to rates, including increased rates related to Langley Gulch power plant and certain of our regulatory adjustment mechanisms. 
 Warmer temperatures, combined with continued customer growth, led to a slight increase in sales volumes and a resulting $3 million increase in operating revenues compared with last year's third quarter. 
 Cooling degree days were up almost 11% over last year and were more than 40% greater than normal. Precipitation during the quarter, on the other hand, was very close to the same quarter last year but in both quarters, less than normal. Both factors influenced our general business customer usage, especially in the third quarter when rates are higher under our tiered and seasonal rate structure. Reductions in payroll-related expenses increased income by $2.3 million, while the combination of changes in other O&M, depreciation and property tax combined with a decrease in allowance for funds used during construction, or AFUDC, decreased income by $6.9 million compared with third quarter 2011. Largely offsetting this reduction was a $6.8 million change in net income due to the third quarter 2011 reversal of amortization of additional accumulated deferred investment tax credits that had been recorded earlier in 2011 with none recorded in 2012. Based on results to date and expected earnings over the balance of the year, Idaho Power recorded $12.1 million of sharing benefits during the quarter related to the settlement agreement approved by the Idaho Public Utilities Commission in December of 2011. This agreement provides for sharing with customers of the portion of 2012 Idaho jurisdictional earnings exceeding a specified return on year end equity. We recorded $6.3 million as the provision against current revenues to benefit customers through rates. This is compared with the $18.1 million customer benefit recorded in the third quarter of 2011 under a similar mechanism for an overall $11.8 million increase in operating income. 
 Of the $12.1 million benefit recorded at September 30, $5.8 million represents funded additional pension expense which will benefit Idaho customers by reducing the amount of deferred pension expense that will need to be collected from customers in the future. 
 Finally, as shown on the table, approximately $56.9 million of previously unrecognized tax benefits were recorded in the third quarter of 2011, which did not recur in the third quarter 2012. That, coupled with other changes in income tax expense, reduced net income $56.4 million excluding any impacts of sharing. Steve Keen will provide further information on income taxes and sharing when I finish my comments. I would now like to share some information on recent retail regulatory activity in Oregon. On September 20, the Oregon Public Utility Commission issued an order approving an approximately $3 million increase in annual base rates for recovery of the Oregon jurisdictional investment in the Langley Gulch natural gas-fired power plant. New Oregon general rates became effective October 1, 2012. I'd now like to update you on the progress on the proposed Boardman to Hemingway transmission line. On October 2, the Bonneville Power Administration issued a statement that it had completed an initial prioritization of potential service arrangements for its customer load in Southeastern Idaho. And while it has yet to make a final decision on service options, BPA identified the Boardman to Hemingway line with a transmission asset swap as a top priority for service options for its fiscal year 2013 and beyond, because the new line and asset swap has the potential to keep BPA costs low relative to other options considered. We anticipate a draft environmental impact statement for the line to be issued in the first half of 2013.Current cost estimates for the project are between $890 million and $940 million, including AFUDC. Idaho Power's estimated share of the cost of the permitting phase of the project, after all partner contributions, is expected to be approximately $13 million, including AFUDC.
  Before turning the presentation over to Steve, I'll cover the updates as to our key operating and financial metrics as shown on Slide 6. We have increased the range for operations and maintenance expense by $10 million to reflect an increase in the estimate of additional pension expense that is expected to be recognized due to the Idaho sharing arrangement. The increase in pension expense will be offset by customer funding through our sharing arrangement, so it'll have no impact on reported net income. We have also tightened the estimated hydroelectric generation range to 7.8 million to 8.2 million megawatt-hours. As a reminder, the annual median in hydroelectric generation is 8.6 million megawatt-hours. Based on these assumptions and our expectations for the remainder of 2012, we are increasing our full year IDACORP earnings per share guidance from the range of $3.20 to $3.35 per diluted share to the range of $3.30 to $3.40 per diluted share. 
 As has been our past practice, we expect to initiate earnings guidance for 2013 beginning with our 2012 year end conference call, which is expected in February 2013. Steve will now discuss IDACORP's expected debt and equity financing requirements for the remainder of 2012, further insight in the Idaho sharing arrangement and our current liquidity position. 
Steven Keen: Thanks, Darrel, and good afternoon, everyone. For the remainder of 2012, we do not anticipate needing external financing at either IDACORP or Idaho Power. While we do not currently plan to access additional long-term debt or common equity through the remainder of the year, we do continually monitor the capital markets with an opportunistic approach to managing future financing needs. For the remainder of 2012, we will continue to focus on controlling costs and generating sufficient cash from operations to meet operating needs and contribute to capital expenditure requirements. 
 As pointed out in today's earnings press release, we do not expect that we will amortize any additional accumulated deferred investment tax credits in 2012. The full $45 million of tax credits originally allocated under the December 2011 Idaho sharing arrangement are expected to remain available for potential use in years 2013 and 2014.
  For 2012, we project earning above a 10.5% return on year end equity in the Idaho jurisdiction, and therefore, we expect to be able to share benefits with our Idaho customers. As laid out in Slide 7, based on projected year end Idaho jurisdictional earnings, we recorded benefits for our Idaho customers in the amount of $6.3 million through the third quarter or earnings expected to be above a 10% return but at, or below, a 10.5% return based on year end equity. An additional $5.8 million is also recorded for the third quarter earnings expected to be above the 10.5% level. The $5.8 million of benefits will be used to lower Idaho customers pension-related obligation as agreed to in the settlement arrangement by funding an equal amount of pension expense recognized currently in O&M. 
 An additional notable item is that tax method changes have impacted our earnings for the last several years, much more so in 2011 than currently. However, it's also important to remember that our company continues to benefit annually from the ongoing deductions related to both the uniform capitalization and repairs tax method changes. Those deductions help lower our overall tax rate as their flow-through treatment delivers a net benefit to income. Turning now to cash flow and liquidity. On Slide 8, we show IDACORP's 9-month cash flows and liquidity position at September 30. Cash flow from operations for the first 9 months of 2012 was $181.5 million, a decrease of $53.4 million from the first 9 months of 2011. The reduction was primarily due to $25.8 million more in pension plan contributions in the first 9 months of 2012 compared with the first 9 months last year, and $13 million more in cash outflows related to income tax payments. Changes in the timing of actual collections from our power cost adjustment mechanisms also reduced cash flows. IDACORP and Idaho Power currently have in place credit facilities of $125 million and $300 million, respectively. On October 12, IDACORP and Idaho Power executed extension agreements with each of our facility banks, extending for 1 year the maturity date under both credit agreements to October 26, 2017. Commercial paper outstanding at IDACORP as of September 30 was $51.4 million compared to $54.7 million at June 30, 2012. Idaho Power had no commercial paper outstanding as of September 30 compared to $10 million at June 30, 2012. We also have $24.2 million of contingent bond purchase  obligations, which could potentially utilize available credit. As a result, at September 30, 2012, IDACORP and Idaho Power had $73.6 million and $275.8 million, respectively, in available liquidity under the credit facilities. Also, as of September 30, there were 3 million IDACORP common shares available for issuance under our continuous equity program, with no shares issued during the first 9 months of 2012, and none expected to be issued during the remainder of the year. Now I'll turn the discussion over to LaMont, who will update you on the recent dividend action and other business matters. 
J. Keen: Thanks, Steve, and good afternoon, everyone. I'd like to share with you some additional highlights from the quarter. On September 20, IDACORP's Board of Directors approved an increase in the quarterly cash dividend on IDACORP's common stock of 15.2% to $0.38 per share. This is shown on Slide 9. At the new quarterly rate, the annual dividend is $1.52 per share. This latest decision is the second time in a year that we have improved our dividend payout. Our total change in dividend payout from 2011 on an annualized basis is nearly 27%. Our payout ratio continues to move closer to the Board of Director's long-term target of between 50% and 60% of sustainable IDACORP earnings. To that end, based on IDACORP's current estimates for earnings and cash flow, and assuming IDACORP meets those estimates, IDACORP's management anticipates recommending to the Board of Directors an additional increase to the quarterly dividend in September of 2013, of at least 10%. You will find additional information and background on this action in our 10-Q released today. 
 We also achieved an important operational milestone during the quarter when Idaho Power received a 30-year federal license from the Federal Energy Regulatory Commission, or FERC, to continue operating our Swan Falls power plant located on the Snake River about 40 miles south of Boise. Swan Falls was the first hydroelectric dam on the Snake River, built in 1901 to supply power to nearby mines. It became Idaho Power's original generation resource when the company was formed in 1916. Though it is not the largest hydroelectric plant in our fleet, it is significant because Swan Falls is the nexus of our water rights on the Snake River. First granting of this new license is an important event for our company, both symbolically and practically, as we look forward to our second century of providing clean, reliable, low-cost power from our fleet of hydroelectric facilities. 
 Finally, I have some good news to share on the economic growth shown on Slide 10. Over the last year, there have been a number of improvements in economic conditions in our service area. The service area unemployment rate fell from a reported high of 10% in early 2011 to 6.9% by the end of September 2012, according to preliminary data from the Idaho Department of Labor. The housing market has improved, and customer growth numbers are climbing. 
 During October, we passed the 500,000 mark for customers connected to our system. And we are not the only ones making note of these trends. At the end of September, CNBC released its annual report on the best states for business. It found that Idaho is America's most improved state for business. The report cited Idaho as having extremely low cost, a great workforce and a business-friendly regulatory climate. We view this as great news as we endeavor to attract companies to our service territory and grow our customer base. And now I, and other members of the management team, will be happy to take your questions. 
Operator: [Operator Instructions] And our first question is coming from Paul Ridzon from KeyBanc. 
Paul Ridzon: Do you have any update on the earliest when B2H could be in service? I think no sooner than '18 is your last commentary? 
Darrel Anderson: And that, Paul -- this is Darrel, that continues to be our estimate, no earlier than 2018 as we sit here today. And I think as we indicated, the first real major milestone is getting the draft EIS in the first part of 2013. So that's kind of what we're looking to do to, get through that draft EIS in the first half of 2013 and then, move through that process. 
Paul Ridzon: When do you file your next IRP? 
Darrel Anderson: We'll be filing our next IRP in June of 2013. 
Paul Ridzon: And we’ll look for some potential generation to backfill the B2H shortfall here? 
Darrel Anderson: I think what you'll see, again, they're right in the middle of that process as we sit here today, but what it will lay out, it will assess the impact of B2H, and the timing of B2H as well as other alternatives that will be out there. So that they will all be evaluated as part of that process. It's too early today to tell you whether or not that will be an option or not. But it will be something -- will be considered. 
Paul Ridzon: And just a bookkeeping item. Your irrigation rates have summer peak levels or are the kind of flat through the spring and summer? 
Darrel Anderson: There is -- they do pay a little bit more in the summer than the off-season time, but I'm looking over here at one client who is our customer -- heads the Customer Operations. Warren, do you want to comment on that? 
Warren Kline: It's just a seasonal rate. During summertime, through August, there's a different rate. 
Operator: Your next question is coming from the line of Michael Klein from Sidoti & Company. 
Michael Klein: What are your expectations for load growth for this year and next year? 
Darrel Anderson: Michael, one of the things -- one thing I'll comment on is that, as part of the IRP process, that's something that they'll be spending some time with and taking a look at the near-term and longer-term sales forecast. And as part of that process, what they are looking at is very modest load growth in 2013. But then, as we move in 2014 and beyond, it's slightly over 1%, 1% to 1.3% over that time horizon. 
Michael Klein: Okay. And can you provide just a little color on the business environment? I know in the past you've talked about a Chobani plan, just the overall state of the environment, any other businesses moving in or whatnot? 
Darrel Anderson: I'll start and then, others may add to that, but one of the things that -- if you could take a look on the slide, we have seen -- first of all, 2 things that are happening: we're seeing real growth from the standpoint of real companies coming into our service territory but we're also seeing a lot of folks coming in and kicking the tires and so we're seeing a lot of what we call potential large new loads that we are evaluating, and the Department of Commerce and others are looking to court to come to our state. Those are numbers that we don't publicly disclose from a standpoint -- to the public, but there, I can just tell you there's a lot of activity going on there as was the folks that are kicking tires. And we've talked about, in the past, about the Chobani yogurt facility that's located down in the southern part of our service territory. They are in the process of getting up and running, which is adding 400-plus new jobs with the potential to expand down there. You see growth in the eastern part of our service territory where they've added a call center, they've added a structured housing facility that's bringing on 100 to 150 new jobs where they're building housing to ship off to the Dakotas. So there's a lot of things that are happening around our region that are really positive, and as LaMont indicated, that CNBC report, I think, it really is -- it shows that Idaho is a good place to do business, not only from a regulatory perspective, but a cost perspective also, which energy is one component of that. 
Michael Klein: Okay. That's helpful. And lastly, I think you've mentioned $13 million in permitting cost and whatnot, associated with the Boardman to Hemingway line, is that correct? 
Darrel Anderson: That is our net expected costs for permitting after partner contributions. As you know, we are in partnership with Bonneville Power and PacifiCorp on that, and so they are help-sharing in some of the cost, but our net number is expected to be around $13 million for the permitting and signing phase. 
Michael Klein: Okay. And is that expected to be recognized in 2013? 
Darrel Anderson: Well, those would just be -- continue to become part of the project and would eventually be closed to plan at the completion of the project. 
Operator: Your next question is coming from the line of Brian Russo from Ladenburg Thalmann. 
Brian Russo: I just wanted to -- on the guidance, I just want to be clear. Looks like, seems the May guidance of $3 to $3.15, it looks like the midpoint has increased $0.35. I want to understand, what part of that was weather-driven, primarily due to residential and irrigation sales in the second quarter, and looks like residential sales in the third quarter? And what is driven by, say, additional tax benefits that you didn't consider early on? I think I read in the Q, there's a 7.84 million tax benefit in the third quarter of this year? 
Darrel Anderson: Right. We did -- I'll have Steve talk about that. Let me talk about the other part of the earnings, the range first of all. One thing to keep in mind, as we sit here today at $3.05 on the year-to-date basis and you look -- I'll use the midpoint of our range, which is $3.35, that suggests something around $0.30 fourth quarter. But you have to understand that, that also, as we go into that fourth quarter, we are also anticipating, obviously, recognize a component of sharing. And so every dollar that we earn in the fourth quarter is going to be partially offset by some of the sharing dollars, so that's one of the reasons that you have to kind of look at the -- the earnings potential continues to be positive, ignoring the necessary -- the ongoing tax benefits, so there, so that's the first part of it. To give you, to attempt to break that down into kind of weather perspective, we really don't, we don't have that information for you as we sit here today. We attempted to capture in our reconciliation what we believe is the estimated amount from increased sales year-over-year. The one thing you have to recognize, while $3 million doesn't sound like a lot, but you also have to look at in the context that last year's was also a pretty good third quarter from a standpoint of where energy sales were. So while we had slight increases in energy sales over last year, but last year was also a good quarter from a standpoint of weather and precipitation, providing our opportunity to sell more energy. So it's really hard to kind of capture that between the weather component. But -- so there is ongoing value to that. I just can't give you a quantification of it. I'll have Steve talk to you a little bit about the ongoing benefits that there -- as he's indicated in his comments, there are ongoing benefits from our tax deductions in light of some of the new regulations that came out. So I'll let Steve talk to those. 
Steven Keen: Thanks, Darrel. Brian, as you mentioned, there is a $7.8 million item that I would say is not likely to be there next year. It's an accounting method change. And if you look at Page 20 of the Q, in the queue, we also referenced back to the 10-K. If you go back to Page 93 in the '11 10-K, you'll see how we do a much more detailed breakout of all the schedules and particularly the flow through items in our K. But for the quarter, if you look at that page, on Page 20, the $7.8 million is a method, it's an additional method change which really just crude up our existing method that we had moved to, based on some guidance that came out after we have reached our agreement with the IRS. They actually issued national guidance related to transmission and distribution property. That was pretty -- actually, very close to what we had agreed to or we probably wouldn't have gotten the agreement initially with the IRS. But once it was out, and we looked at that new method and applied it to our circumstances, it generated a slightly higher adjustment, which the IRS also agreed with. So that was put in this year. If you look below that line item, though, for the quarter there's an item there of about $25 million, $25.8 million, actually. And for the 9 months, it's $37.8 million that relate to, really, the other items that are going through the tax line. And it would be in that section that you'd find -- the recurring section, and I think as you get to the end of the year, we'll be able to get into that even a little bit more detail because we don't break those out line by line for the quarterly reports, but we do annually. And so I think we might be able to give you a better picture once we get out the end of 2012, we could look at year-by-year and see the changes and you'd have a better feel for the incremental change year-over-year. 
Darrel Anderson: Brian, the one thing you should think about, too, because our earnings as we have reported them through the third quarter, we also included there over $12 million of sharing that we are looking to give back. And so as Steve has talked about that one off item of $7.8 million, you have to kind of look at that in the context of our overall earnings. If you after tax the $12 million, those are going to not offset dollar for dollar, but there's going to be relative offsets there. So we continue to say that business is doing better, as I indicated in my opening comments, at the operating level. And then, we also do have some slight increase in what we would say is ongoing tax benefits that should factor in, in future years. 
Brian Russo: Okay. And just on the Boardman to Hemingway line, can you remind us what your anticipated ownership interest would be? 
Darrel Anderson: Right now, Brian, we are anticipating in and around 21%, 20%, 21% as it stands right now. 
Brian Russo: Okay. And just to follow-up on an earlier question on 2006 capacity needs, is it feasible for you to just sign capacity contracts with out-of-state generators? Is that feasible, considering the Boardman to Hemingway line was designed reel-in capacity? Meaning, are you transmission constrained in '16 and the most likely, or logical scenario is to build? 
Darrel Anderson: That -- okay, I wasn't sure where you were going with that, Brian, sorry, but now I think I know where we are. So your question is in between the time of where our potential need may be and the timing of when Boardman to Hemingway come on line, what might our options be to fill the need that’s out there. That's part of the process that's going to be evaluated as part of our 2013 IRP. And so I think, when you see that and, I think, we expect to see a draft of that around June or so, that will be our roadmap to kind of spell out what some of those options are to fill that gap between '16 and '18. 
Brian Russo: Okay. And just remind me, how many megawatts of capacity was Boardman to Hemingway designed to reel into your territory? 
Darrel Anderson: I'm going to have Vern -- Brian, Vern Porter, who heads up that side of our business is here today. So we're going to have Vern talk a little bit about that. 
Vern Porter: The line is designed to import 1,050 megawatts. 
Brian Russo: And how much is needed for -- to manage your peak load at Idaho Power? 
Vern Porter: Well, the 21% that Darrel mentioned before is actually a seasonally shaped capacity. We're looking for 500 megawatts in the summer and 200 megawatts in the winter. 
Brian Russo: Okay. And any ideal -- can you give us a sense of what your 2012 rate base looks like? 
Darrel Anderson: Brian, I don't have it. But I think what we're probably going to do is have some of that information available when we're down at the EEI. We don't have it readily available right now. Back at the end of 2011, my recollection is around $2.36 billion, I believe, was the number. And Larry is shaking his head, yes, in Idaho that's the number. We're planning to have a schedule on that for the EEI meetings. 
Brian Russo: Okay. But just to follow-up on that. If you had year-end '11 of $2.36 billion, we should have $396 million for Langley Gulch minus depreciation? 
Steven Keen: Brian, you have look at that actual case to get the right number, because bonus depreciation was in effect, so yes, it had a -- it's actually deferred tax offset that brought that down quite a bit. 
Darrel Anderson: Brian, the high side of a rate base number is $336 million of the $398 million, that's the Idaho rate base. 
Brian Russo: Okay. And I think the Oregon piece that you got a recovery for is $121 million? 
Darrel Anderson: I don't have that handy. I'm looking around to see. I think it's probably close. 
Operator: Your next question is from the line of Sarah Akers, Wells Fargo. 
Sarah Akers: Question on the expense side. We're seeing a lot of other utilities targeting O&M growth kind of at or below sales growth for the next few years. Curious if Idaho Power has a similar target or what we should expect in terms of O&M trends over the next few years? 
Darrel Anderson: Sarah, you must be reading our minds. This is Darrel. We are actually taking a look at that. We started looking at that earlier in the year, as we look forward in light of what our load growth may look like, and so we're going to be looking hard at the expense side of the equation, too. And one of the things that we will be, kind of, looking at just looking at the business overall and trying to manage the O&M as tight as we can but at the same time, be able to safely and reliably provide service to our customers. So we are doing that. 
Sarah Akers: Great. And then a question on Gateway West. I know a few months or maybe 6, 9 months ago, you were talking about the early phases of potentially going into service around the '15 to '17 timeframe. Is that still realistic for the early phases, and would Idaho Power be involved in the early phases of that project? 
Darrel Anderson: Sarah, we're going to have Vern Porter take that one also. 
Vern Porter: Thanks, Darrel. With Gateway West, of course, as far as the next milestones, we've got a final environmental impact statement. We expect it to come out here before the end of the year with the record of decision sometime mid-next year. It's always been the plan to start out in Wyoming and build west. And so we would expect that the initial stages would be built more toward the -- in Wyoming, more toward maybe mid-to-late decade with getting -- finalizing the or getting to the Idaho sections and out here to the Hemingway area, maybe toward the very end of the decade or into the next decade. 
Sarah Akers: Okay. Got it. So your portion of the project probably isn't until the second or third or fourth phases of the line? 
Vern Porter: Yes. That -- I prefer the last one, yes. 
Operator: [Operator Instructions] And we do have a follow-up question from the line of Sarah Akers. 
Sarah Akers: Sorry, one more. Question on the environmental spend that you might incur, when could we start to see that CapEx kind of flow in -- into your outlook? 
Darrel Anderson: Sarah, this is Darrel. We will, as we update our 3-year look on capital that we will be taking a look at then, and so the earliest you'd see that would be as we roll out our 10-K in February. 
Sarah Akers: Okay. And so there's not much -- I should assume there's not much kind of in that '14 timeframe? 
Darrel Anderson: Yes, there's modest amount of spend in the period. But as those come near, we will disclose those -- not just the discussion we have on major projects in the Q and the K now. So as they kind of become near, we will have disclosure on those projects. 
Operator: That concludes the question-and-answer session for today. Mr. Anderson, I would like to turn the conference back to you. 
Darrel Anderson: Thanks. We'd like to just thank everybody for participating on our call this afternoon and your continued interest in our company. We hope to see many of you in a couple of weeks at the EEI Financial Conference in Arizona. Again, thanks for your time this afternoon. 
Operator: That concludes today's conference. Thank you for your participation.